Operator: Ladies and gentlemen, thank you for standing by and welcome to the World Fuel Services 2017 Third Quarter Earnings Conference Call. My name is Scott and I will be coordinating the call this evening. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. Instructions on how to ask a question will be given at the beginning of the Q&A session. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Glenn Klevitz, World Fuel's Vice President, Assistant Treasurer and Investor Relations. Mr. Klevitz, you may begin your conference.
Glenn Klevitz: Thank you, Scott. Good evening everyone and welcome to the World Fuel Services third quarter 2017 earnings conference call. I am Glenn Klevitz, World Fuel's Assistant Treasurer and I will be doing the introductions on this evening's call, alongside our live slide presentation. This call is also available via webcast. To access this webcast or future webcast, please visit our website, www.wfscorp.com and click on the webcast icon. With us on the call today are Michael Kasbar, Chairman and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. By now, you should have all received a copy of our earnings release. If not, you can access the release on our website. Before we get started, I would like to review World Fuel's Safe Harbor statement. Certain statements made today, including comments about World Fuel's expectations regarding future plans and performance are forward-looking statements that are subject to a range of uncertainties and risks that could cause World Fuel's actual results to materially differ from the forward-looking information. A description of the risk factors that could cause results to materially differ from these projections can be found in World Fuel's most recent Form 10-K and other reports filed with the Securities and Exchange Commission. World Fuel assumes no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes certain non-GAAP financial measures as defined in Regulation G. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in World Fuel's press release and can be found on its website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael J. Kasbar: Thank you, Glenn and thank you to everyone for taking the time to join us this evening. Today, we announced third quarter adjusted earnings of $41 million or $0.60 adjusted diluted earnings per share. Despite the major disruptions we encountered this quarter, our team came together in many ways to deliver a solid result. During the third quarter, we experienced a concentrated series of natural events, which impacted our business operations in the U.S., Mexico and Puerto Rico. I'm proud to say our team was the first on the ground to Puerto Rico to get fueling operations up and running for all of our customers. It comes as no surprise to me that we rally together to support our team members and our customers when they needed us most. It's what we do and who we are individually and as a team. It represents the most treasured attribute of our culture. To our employees supporting disaster relief efforts with donations of time, money and heroic personal efforts, I thank you for your compassion and generosity. I am proud to be a member of this organization. During the seasonally strong third quarter, our aviation segment posted solid results in our core resale business in the Americas, Europe and Asia as well as a higher than expected level of activity coming from our government related operations. Additionally during the quarter we witnessed improvements in growth and profitability coming from the ongoing integration of our physical international fueling operations, which we acquired during the last year. Given the headwinds of certain supply and demand disruptions due to the impacts of the previously mentioned natural disasters, we are pleased with our performance. As expected in our marine segment, oversupply, consolidation and changing market dynamics continue to negatively impact the independent bunker fuel services industry. Overall lack of volatility has negatively impacted sales of price risk management offerings. Low pricing and a lack of volatility has pushed the traditional reselling and underwriting model to supply and transportation model most notably in Singapore where the introduction of mass flow meters has accelerated this trend. Although there has been little to no improvement in the overall marine landscape, our core resale business has performed well in this challenging environment, and we continue to rationalize our operating model and look to gain efficiencies through numerous initiatives that are ongoing throughout the company. The shipping market is following a similar path as aviation and this bodes well for World Fuel. Our land segment was also impacted by the disruption from the hurricanes principally Harvey and Irma. Although our supply teams worked diligently and provided alternative sources of gasoline and diesel fuel to our contract customers most specifically during the shutdowns of the Colombia pipeline, negative pricing impacted our domestic land business on the East Coast as well as in the Midwest. Our transaction processing and payments business, as well as our connect gas and power management business were partially offset to the adverse impacts in our core operations. Lastly we were pleased to announce the additions of two members of our senior leadership team to our organization. First on August 4th, we announced that Steven Gold has been appointed to our Board of Directors. Steven serves as the Executive Vice President of Technology and Operations Innovation and Chief Information Officer for CVS Health Corporation. Steven has more than 30 years of information systems management experience. And we believe that his vast experience in technology will proved invaluable on our journey to grow our technology offerings, digitizer business and drive internal efficiencies, creating value for our customers in the global energy and logistics and payment marketplaces. And last week we announced the appointment of Jeff Smith as our Executive Vice President and Chief Operating Officer, with more than 30 years of corporate experience, Jeff brings extensive operational and management experience and leadership in driving global transformation. He most recently served as Chief Information Officer of IBM and prior as CEO of Suncorp Business Services. His expertise in bringing agility to business teams will be instrumental in driving improved operational performance to provide an exceptional experience for our employees, customers and suppliers. We truly appreciate the continued support from our long-term shareholders, customers and suppliers and the tremendous engagement of our global teams. Now I'll turn the call over to Ira for a financial review of our results.
Ira M. Birns: Thank you, Mike and good evening everyone. Consolidated revenue for the third quarter was $8.5 billion that's up 15% compared to the third quarter of last year. The increase was due principally to the increase in oil prices, as well as increased volume in our aviation and land segments. Our aviation segment volume was 2.1 billion gallons for the third quarter, up 165 million gallons or 9% year-over-year. Volume growth in our aviation segment was derived principally from seasonal gains in our core resale operations in North America as well as sales coming from our recently acquired international physical fueling operations. Volume in our marine segment for the third quarter was 6.8 million metric tons down approximately 1 million metric tons or 13% year-over-year. The largest driver of the volume reduction in marine relates to our operations in Asia. Our land segment volume was 1.5 billion gallons during the third quarter, up approximately 75 million gallons or 5% from the third quarter of 2016. Such increase was principally driven by volume growth in our connect natural gas business. And total consolidated volume for the third quarter was 5.4 billion gallons, a decrease of approximately 30 million gallons or 1% year-over-year. For the first nine months of 2017 total consolidated volume was 15.8 billion gallon and that represents an increase of approximately 3% year-over-year. Consolidated gross profit for the third quarter was $240 million, an increase of $3 million or 1% compared to the third quarter of 2016. As Mike mentioned earlier multiple hurricanes placed havoc on the fuel markets during the second half of the third quarter. As a result gross profit in our aviation and land segments was negatively impacted by approximately $8 million to $9 million in the third quarter and I'll provide some additional color on the specific impact to each segment in a moment. Our aviation segment contributed $124 million of gross profit in the third quarter, an increase of $12 million or 11% compared to the third quarter of 2016. The principle drivers of the gross profit increase came from increased activity in our government related business. We expect our government related activity to remain strong although the related profit contributions will likely decrease in 2018 as a result of compressed margins associated with contract renewals. And we stated before it’s always difficult to forecast government related profit contributions, which are not only driven by margins but also volumes, which are always subject to troop [ph] deployment and related activity in feeder. As an example, in addition to our primary government activities during the third quarter we also benefited by responding to specialized government requirements, which effectively offset the aggregate negative impacts to both aviation and land associated with hurricanes Harvey and Irma during the third quarter. Due to the significant hurricane activity during the third quarter, the market experienced supply and pricing impacts related to physical jet fuel sourced in the U.S. Gulf region at derivative instruments we rely on to hedge over price exposure. Our aviation customers obviously rely upon us to provide a stable and secure supply of jet fuel at airport locations and during this unusual and short period of price volatility our purchases of physical inventory to support our customers resulted in a temporary decrease in our margins, primarily at a handful of key markets along the East Coast. As we look to the fourth quarter in addition to the lingering impact from the September hurricanes, we expect the traditional seasonal and sequential decline in both volume and profits for our aviation segment. The marine segment generated gross profit of $30 million, down $7 million or 18% year-over-year. The gross profit decline was again principally driven by reduced volume in our resale business in Asia, as well as a further decline in profits from the sale of price risk management products globally. We remain focused on driving further cost efficiencies in the marine business and identifying growth opportunities despite the challenging maritime markets environment that continues. Our land segment delivered gross profit of $85 million in the third quarter, that's a decrease of $2 million or 3% year-over-year. As I previously mentioned the hurricane related disruptions also negatively impact our land business in the third quarter but in different ways than aviation. Both the mid-continent [ph] region in Chicago area we're impacted by oversupply market driven by delay in refinery turnarounds due to the storm related disruptions. Excluding the impact of such disruptions gross profit in land actually increased year-over-year. Like aviation lingering impacts from the hurricanes that extended into October however we still expect the seasonal uptick in land results in the fourth quarter assuming normal winter weather patterns in the U.S. and the UK. We expected to such uptake as always depends on winter temperatures as we progress through the balance of the fourth quarter. Gross profit associated with our multiservice payment solutions business was $15.6 million in the third quarter, an increase of 19% compared to the third quarter of last year, again demonstrating the continued expansion of our global FinTech payment platform. As I continue with the remainder of the financial review, please note that the following figures exclude the deferred tax asset valuation allowance of $77 million, as well as $3.4 million of pre-tax nonrecurring expenses in the third quarter, as well as nonrecurring items in previously reported periods as highlighted in our earnings release. The nonrecurring expenses are principally comprised of acquisition related expenses and severance cost. To assist all of you in reconciling results published on our earnings release and 10-Q the breakdown of the $3.4 million in nonrecurring expenses is as follows. $1.4 million relates to land, $500,000 to marine, $300,000 to aviation, and $400,000 in unallocated corporate expenses, and there was also another $800,000 relating to non-operating expenses below the operating income line. The reconciliation of these amounts can be found on our website and on the last slide of our webcast presentation today. Operating expenses in the third quarter excluding our provision for bad debt and onetime items were $174 million, which is flat year-over-year. However, when excluding the impact of recent acquisitions, operating expenses declined by $4 million, reflecting the impact of our ongoing cost saving initiatives. Total operating expenses excluding bad debt expense in any onetime items should be in the range of approximately $175 million to $179 million in the fourth quarter. Our bad debt provision was $2.4 million in the third quarter, that's up approximately $900,000 compared to the third quarter of last year. Consolidated income from operations for the third quarter was $64 million, up $3 million or 5% year-over-year. Non-operating expenses principally comprised of interest expense was $16 million in the third quarter. This represents an increase of $6 million compared to the third quarter of last year, principally related to increased borrowings associated with increased working capital requirements, which were driven by higher fuel prices during the third quarter again significantly impacted by the hurricanes, acquisition funding and higher average interest rates compared to last year. I would assume fourth quarter non-operating expenses to be generally consistent with the third quarter. On to taxes, in the third quarter we booked a $77 million valuation allowance against our deferred tax assets in the United States. This non-cash adjustment is generally required under accounting standards following a three year cumulative loss in a specific jurisdiction in this case the U.S., as defined for such purposes. The recording of the valuation allowance has no cash flow impact and our net operating loss carry forward asset remains available to offset future taxable income when it is generated by U.S. operations. Excluding the impact of the deferred tax valuation allowance, the company's effective tax rate in the third quarter was 13.6% compared to 11% in the third quarter of last year. Since we will not be able to recognize any deferred tax benefit in the U.S. until our deferred tax asset is reestablished, our effective income tax rate may increase in the short-term. With this in mind, we're estimating that our effective tax rate for the fourth quarter of this year should be between 15% and 19%. Adjusted net income was $41 million this quarter that's down $4 million compared to the third quarter of 2016. Non-GAAP net income, which again excludes onetime expenses and also excludes intangible amortization and stock-based compensation was $52 million in the third quarter, a decrease of $5 million from the third quarter of 2016. And adjusted diluted earnings per share again was $0.60 in the third quarter down from $0.65 last year and non-GAAP diluted earnings per share was $0.77 in the third quarter down from $0.82 in the third quarter of last year. Our total accounts receivable balance was $2.6 billion at the end of the third quarter, which is an increase of approximately $340 million sequentially contributing to a $175 million increase in net working capital. The increase in net working capital principally relates to the sharp increase in the fuel prices during the third quarter. This contributed to an operating cash outflow of $111 million for the quarter. Also during the third quarter, we repurchased an additional $30 million of our common stock taking our year-to-date repurchases to $62 million or 1.7 million shares. Again delivering on our commitment to continue providing incremental value to our shareholder through share repurchases. In terms of earnings guidance for the full year 2017, we still anticipate a result consistent with the $2.10 to $2.40 adjusted EPS range provided on last quarter's call. Again that range excludes any onetime items. But we expect the number to be closer to the midpoint of this range. Leading into the fourth quarter our guidance assumes continued strong government related activity, normal winter weather pattern in the U.S. and the UK, anticipated contributions from acquired businesses and our ability to continue to deliver on our cost saving initiatives. In closing we delivered reasonably strong results in a quarter where we faced significant market disruptions, while many of our employees faced challenges of their own. As Mike referred to earlier and we progress through the fourth quarter we are strategically reviewing our overall business including all noncore assets and businesses and we are also identifying additional cost efficiency opportunities. We are currently formulating our strategic plan for 2018 and beyond and we look forward to sharing more details with you on our fourth quarter call in mid-February. I will now turn the call over to Scott, our call operator to begin the question-and-answer session. Thank you
Operator: Thank you. [Operator Instructions] Our first question is from Ken Hoexter with Merrill Lynch. Please proceed.
Ken Hoexter: Great, good afternoon. Thank you, Michael and Ira. Just on the accounts receivable I guess just really quick Ira you just ran through the numbers there, but with it up 15% sequentially or I guess 25% year-over-year and 15% gross revenue growth. Is there anything to be concern with given that volatility you noted on the fuel or is that not -- I mean, you mentioned the cash tug that it has maybe a little thoughts on that there?
Ira M. Birns: Obviously, prices heavily impacted by the hurricanes where up they bounced around a lot on net-net basis they were up during the quarter, which just drove our working capital investment up because we’re so working capital intensive. So, I wouldn’t call that anything but just natural phenomena of higher prices. Our DSO our day sales outstanding didn't change just the overall receivables where we invoice rather being somewhat greater than the prior quarter in last year because of the higher prices being bill. As prices settle down and we expect that to quite likely that accounts receivable balance is likely to come down over the next couple of quarters and that cash flow would then come back. So nothing inherently has changed in terms of the quality of the portfolio, it’s just purely a price related impact.
Ken Hoexter: Appreciate that, yes just want to check that's a big focus for cash flow. On the -- you noted in your prepared remarks the increased competitive activity. I guess is that particularly in aviation, you were talking about is there a particular geography, is that just the military businesses is that what you just seeing increased competition in all facets?
Michael J. Kasbar: Ken I'm not -- it's a very competitor world so the barrier to entry in a lot of our traditional businesses has come down. So, it's great for anybody who wants to enter and it's great for everybody who’s in a particular business that wants to enter some other business. So it’s just a very competitive marketplace. So, we’re experiencing competitive pressures and practically everything that we do everyone has got a super computer in their hand so prices are low, credit is available a lot of our traditional value prepositions has been under pressure, which is why we've diversified and moved into some of the more inventory aspects and distribution aspects, which obviously is a challenge. But we've developed those capabilities and leveraging a tremendous amount of technology to reduce cost of operating and increase the value add. So, we're just experiencing it everywhere it’s just the nature of today’s world.
Ken Hoexter: Okay. Is that I guess -- it’s two questions and I guess my follow-up on Exxon maybe can you just give us an update in terms of all the facilities they are all up and running now, can you kind of just give us idea of the progress on the acquisition?
Michael J. Kasbar: Sure. We've everything has been -- we finished the last pieces of that puzzle in this second quarter and we're still going through the integration learning process. With every quarter we seem to be doing a little bit better that deal has already led to new opportunities for us at other airports in the regions that we serve through that acquisition. So I would say that is certainly picking up steam and it's got a bit of nice transaction for us and we expect more out of it in 2018.
Ken Hoexter: So now, would you throw any financials in terms of is it better than you thought original targets or is it still too early?
Michael J. Kasbar: It's still too early. And again, the one thing that I mentioned a few times on previous calls was the foreign exchange rates have changed fairly dramatically even though they moved back a little bit recently from where we were or when we initially announced the transaction. So that's still a bit of a handicap if you will. But aside from that, I would say that we're getting closer and closer and in 2018 we should be at the point where we're delivering results very consistent on a local currency basis at least with what we had initially predicted.
Ken Hoexter: Appreciate the time and inside. Thanks guys.
Michael J. Kasbar: Thanks, Ken.
Operator: Our next question is from Gregory Lewis with Credit Suisse. Please proceed.
Gregory Lewis: Yes, thank you and good afternoon gentlemen. I guess Mike or Ira just as the oil price pertains to the absorption of cash and maybe the potential of getting better margins. I guess in Q2 and Q3 oil prices were relatively flat on average. However in the last I guess a month or two we've seen oil prices high, I mean, Brent sniffing $60 a barrel. I guess how do we sort of true up or how should we be thinking about the demand on for more cash to service your working capital and the potential for better margins?
Ira M. Birns: Okay, I'll try that first and Mike can chime in. So we got a lot of levers in working capital, our working capital obviously includes receivables which Ken just asked about and inventory and of course payables to our suppliers. As the prices bounce around we’ve lived through pretty dramatic price increases about nine years ago. We have the ability to turn the dials to a great extent, which impact our overall trade cycle and our investments for working capital. We haven't had the need to do that over the past couple of years, because we've been in this prolong low price environment. As that changes, if it changes meaningfully we can look at the same types of moves that we've employed in the past. And we may need to invest more in working capital, but we could temper that requirement in terms of reconsidering how we go to market, how much inventory we're holding, et cetera. So I would say that's a good summary of the first half of your question. To the second half, one of the areas where we've been very weak recently is on the sale of derivative additions to our customer or the hedging side of our business or fixed price deals. If prices are continue to move up and move up rapidly the opportunity to that type of business to come back picks up pretty significantly. In marine this quarter we probably had our lowest result as far as I can remember in terms of delivering on that part of our business. And also in marine because of the fact that the spot business and it's been suffering from the environment in the overall marketplace, as prices go up we have an opportunity to see some large improvement in marine more quickly than we would necessarily see it in our other businesses just because of the again the spot nature of that business. So marine could get a double whammy, we said this before on the positive side from continued increase in prices from the derivative sales activity as well as just core margins. And the offshore market has been dead for a while as well when prices start getting higher that market could start to expand again and that could pay some dividends as well. So there are a lot of good things that could happen. We obviously have to manage the working capital side of the equation, which I think we proven that we could do very, very well in the past, we'll have to continue doing that.
Michael J. Kasbar: I'll just add that little bit of color in the interest of time everything that Ira said. So the margin enhancement will I think somewhat turned down. I don't believe that you're going to see prices be sustainable at a higher level. But I think more of where we're going to see our value is more efficient internal operations more services, more value add that we'll be able to drive scalability and be rewarded with volume. So it's really going to be driving volume through a more efficient platform as oppose to simply looking at margin expansion for profitability.
Gregory Lewis: Okay, great. And then just on the I mean the ongoing shift though the company to be in more energy management focused more distribution oriented. As you kind of as you're doing this review, and looking at you're kind of mentioned the desire to maybe sell off some non-core assets. Is that specific to any -- is there any segment that's maybe more heavily weighted towards non-core assets than others or is it pretty much across the whole company?
Michael J. Kasbar: Yes listen we're not prepared to obviously get into it now, but we go through the annual review and obviously making the right selection and doing more of less and managing your cost, making your selection and putting all of your organic and inorganic trust behind it is the name of the game. So everyone got to do it. We've been pretty acquisitive and we've developed certain things that we just need to make sure that we have the right focus. So that’s something that we'll be talking a little bit more about the fourth quarter.
Gregory Lewis: Okay, perfect. Thank you very much.
Operator: Our next question is from Jack Atkins with Stephens. Please proceed.
Q - Jack Atkins: Hey guys good afternoon. Thanks for squeezing me in here.
Michael J. Kasbar: Hi, Jack.
Jack Atkins: So I guess, Mike let me start off in your prepared comments, you referenced the hiring of new COO, he seems to have a significant tech background. You've recently added a new board member as you commented with significant tech credentials. Could you maybe just sort of give us a little bit more color on those particular additions to the team? And what sort of expertise do you expect them to bring that sort of not at within the fold I guess before their arrival. And sort of what do you expect this to produce adding this type of talent to the bench?
Michael J. Kasbar: Okay thanks. So well, both gentlemen have tremendous backgrounds. And we're excited to have them with the company. So obviously technology today is critically important. It's really the part of every business; no business can exist without it today as we know. So it's a great combination. We’ve been on this journey for quite some time, not only in terms of our internal necessity for what we do in terms of being a low cost provider. The amount of information that we process with a tremendous amount of proprietary unsearchable data. We've got a tremendous combination of domain expertise so that combined with today's tools and analytics I think is a potent combination for us to be able to complete in the market. We've always operated at a global network with our marine and aviation business, their platform. So looking at our internal operations, driving data infused workflows a big part of what we're trying to do is just leverage all of the information and network that we have is critical. I mean, there is just so much going on. I mean, I could talk to quite a bit on this in terms of machine learning, instantaneous credit decisions. So there is a lot of things that are challenging our legacy model and now incorporating those basically building on the past leveraging the future. It's an omnichannel world, we're delivering in the virtual world with e-commerce, technology, third party, inventory, physical distribution. All of those required technology to telemetry telematic. So accelerating the development of our global land platform including Connect. So liquid gas power putting that all on one platform is very powerful. Global companies are looking for single source solutions where they can get tremendous amount of information to be able to manage and leverage their indirect expend. Not to speak of aligning the engagement and trust of 5,000 people. So helping the senior team to do that, that's exciting. I get very inspired about the 5,000 people that we got in 40 countries and being able to connect with them and give them the tools where we can all act as one and deliver that incredible customer experience or market experience. So, we're operating this multisided platform where we've got suppliers, customers, vendors it’s sort of an exciting time. And despite the fact that we've got a lot of challenges in front of us certainly, we've got a tremendous amount of opportunities and technology is in the center object. So, I'm excited about it and I'm really happy to have Jeff onboard. He has got a big agenda for us we feel very fortunate and Steve Gold has been just a tremendous asset to me already in terms of being able to give me guidance and help make decisions that are pretty difficult today. Not to mentioned cyber and as we look at some of our clients they do business with us because they’re looking for compliance in terms of the excellence that we have within our legal compliance function and now also with cyber security. People want to know who you are doing business with. So, I think that we've got a very differentiated offer in the marketplace I don't think there is anybody quite like us. We’re running this global energy and logistic super market, I think it's pretty cool, it's pretty ambitious, it's definitely transformative, we've been in it for a while and Jeff I think is going to bring a tremendous amount of leadership in terms of an agile management process where we're going to be looking to accelerate really the way we do things. So, I'm pretty excited to have him on board I know everybody else is, so thanks for that question.
Jack Atkins: Absolutely, that's encouraging. Okay, great. So just kind of shifting gears here for a moment, you talked earlier about the strategic review and the potential for some non-core asset sales or divestitures, but I think back to World Fuel historically being an acquisitive company the Exxon, Imperial Oil integration seems to getting away very well from what IR was just saying and updating us. So, I guess with the background of potential divestitures and asset sales, are you guys still have that appetite for M&A and sort of how should we think about that being focused going forward in terms of what you are looking for?
Michael J. Kasbar: Okay. Listen we’re always open for business I think I had answered this question couple a quarters ago. So it's being very thoughtful and very specific about what and why we have done a lot of it as you know and it's always about raising the bar and using it to accelerate the transformation the transition. So, I think we get better at it every day. On our energy management side, we feel pretty good about that and were really just the reflection of the marketplace. So lots of what we are doing is really transforming with where the markets act it’s leveraging all of the same that we have done well and the international experiences that we have the deep domain experience that we have within energy and logistics. But realizing that there is lower barriers to enter, which is why this omnichannel world is so crucial because people want, what they want, how they want it, where they want it, when they want it and you’ve got to basically live in all these different dimensions. So you’ve got to live in the virtual world, they want networks to create that delivery of global fulfillment and then you need to be doing it within the fiscal world as well and ramping everything up with technology. So, I think you’ll see on the menu certainly technology distribution really anything that is going to provide what our customers need. So see the build or buy and we've always looked at the human aspect of it in terms of bringing in talent. So, we've done a bunch of tuck-ins I think that we're getting better at this and doing more meaningful acquisitions where there is some amount of synergy is not so easy. One of the things that I tell you we will be very reluctant to do is to buy companies that we can’t plug-in to a platform. So the technology side of it is crucial, very difficult to get the value when you don’t have a platform and you're not eliminating some of the cost and we've done a little bit of that. Some people may call stringing some purpose together. And so we're going to -- we're not going to do too much of that. So I don't know if that's helpful in terms of an answer, but we've made lots of mistake. And we've got with the little bit of age now running as faster, jumping as high but we’re a little bit smarter. So we're picking our places little bit better.
Jack Atkins: Okay, that makes sense, Mike. And then last question from me and I'll turn it over. But Ira, just going back to your comments in the prepared remarks on the hurricane impact. I guess I was having trouble following, because it seem like there were some headwinds certainly from the hurricanes but they are spread out among the different segments. But I think there may have been some benefits as well offsetting some of that. So is there a way to sort of frame up what the net impact from the hurricanes were to the third quarter just so we can kind of have that number and think about how ex those items the company performed?
Ira M. Birns: Sure, the hurricane impact themselves aggregated between aviation and land, we're somewhere between $8 million and $9 million about five unchanged on the aviation side and three unchanged on the land side. The reason why we're able to still produce a number of met expectations is because we had a similar dollar benefit in that incremental government business that I talked about that came through in the third quarter, which related to some specialized requirements that is not part of what we normally do everybody. So it's a fortunate coincidence that that came through right around the same time as the hurricane. So if you net all that out, it nets out to almost zero some gain or loss.
Jack Atkins: Okay, that makes sense. And I got you. And then that special military business, you're not expecting that to repeat it sounds like in the third quarter that was just sort of a one-off item?
Ira M. Birns: Yes a bit of it trickled into the fourth quarter, still don't know how long it's going to last. So we may get some benefit in the fourth quarter, but we're not sure how much.
Jack Atkins: Okay, thank you again for the time.
Ira M. Birns: You're welcome. Thanks, Jack.
Operator: Our next question is from Ben Nolan with Stifel. Please proceed.
Ben Nolan : Hey thanks. So I have a couple of questions. The first is maybe going back, while as it relates to sort of how you're thinking about the business going forward and I appreciate that you're obviously becoming much more technologically focused. And I have to go back with a dictionary and sort out what all of the word meant. I think you've talked about there Michael. The -- more simplistically as you look forward at various aspects of your business going into next year. Obviously it sounds like some of the government side on the aviation will you're expecting to slow down a little bit. But where are the areas of organic growths, just in terms of underlying volume that you can look at and say, there is some low hanging fruit out there and we expect whatever. I guess it could be growth or contraction certain areas as you're looking into the business for next year. So anything obviously that you point us to how you're thinking through the business?
Michael J. Kasbar: Yes, I mean, if you look at our land business, it's really in its early stages, I mean, it's very early innings. And if you look at really our businesses of the future so to speak, and I call them business of the future, but there is a lot of similarities. I said this in the past ship a plane or truck an airport, or seaport, or truck stop, jet fuel, marine fuel, diesel it's a moving target a stationary target it's molecule. So there is a lot commonality and I look to generalize with this and take the labels off because the actual process and the activity there is a tremendous amount of commonality there. So certainly with the natural gas, power and diesel those are the three growth products within today's world if you look at where consumption is going to be. So our Connect business I feel really good about that that one is going to take a little while. So we're building that so that is a business of the future. If you look at C&I business we are seeing more and more clients around the world looking to have a single source of supply and we are doing multiple country contracting where we are getting large multinationals wanting us to supply them in four, five, six, seven different countries. So that’s a great opportunity to grow and there is a lot of similarities between marine, aviation and land there is a lot of intersections, there is a lot of land marine interface, land aviation interface you are looking at the news 20-20 regulations that are coming in with IMO. So we are in a great position in terms of sourcing and managing LNG by virtue of Connect we have got a tremendous amount of natural gas and LNG expertise we have got a tremendous amount of expertise in terms of this fluid [ph] fuel, blending fuel in terms of technology and payments. I am looking forward to being on a phone call where we’re seeing some things pop there, but that has got the potential to going viral maybe slight exaggeration, but the beauty of being in technology businesses is that once you get the network effect and you start to add more people to it, it’s a power of two. So you really start to get some interesting scalability there. And all of that is within the community of clients that we have, we have 60,000 non-residential customers that’s an extraordinary number. So our cross sell capability to bring that through a portal to our clients where they have got confidence in their counter party in terms of who they are buying their energy for they trust them, they know that they have got a company that has the compliance, has the supply chain authentication that they are looking for. So it’s sort of an exciting journey and these are all the areas not to mention our traditional areas where as we get deeper into distribution and services our aviation business has a meaningful percentage of its gross profit is in services. So that I think is just a great story and we have been doing it step-by-step and we hope by virtue of Jeff and certainly Steve’s guidance that we are going to accelerate those services and be an aggregator to bring other people into our network and into our ecosystem and our marketplace. So it’s great big future like I said in the past, which was 35 years old because can’t wait to see what this company is going to turn into. We have got a lot of challenges I mean transitioning and transforming is not easy and almost every single one of our traditional value proposition has been under massive impact. So it’s rough, and we have not done everything right that is for sure. But we’re learning and but I think, as you look at energy a lot of diversity that’s what we are doing and I think this company has tremendous innovative horsepower. We got a great organization here so like the numbers to show up a little bit definitely will be better, but things take a little bit of time.
Ben Nolan : Right. To sort of bring it down to a little bit more of a numerical number as we are analyst here. If you are just looking at the aviation marine business and the land business and saying okay organically from a volume basis here is what I feel like given our service offerings and all the things that we’re trying to accomplish. Here is how much I think the growth rate in those various businesses should be over the next few years. Any sense of what you should be able to accomplish if you are successful?
Michael J. Kasbar: We wanted to make your job so much easier than that. I am going to have to punt on that I think that we are going to have to try to obviously do a better job of letting that rope out, but we’re going to have to come back to you on that when I think.
Ben Nolan : Okay, no that’s fine. I understand.
Michael J. Kasbar: We have got great upside Ben, and as you look at some of the things that you are doing at some of the things that we are doing, if you look at aviation which created some good scalability I think that’s pretty god model and I see the other businesses following that, I mean, that’s 25 years in the making. So but platforms are important we don't have them. But that's why you’re seeing us so aggressive on the technology side because you really do need that. But I hope to be soon able to give a little bit more guidance I am not delighted with guidance to be honest with you, but being able to suggest and give confidence at the end of the day we know that people want predictable, ratable results with the company that they understand and we're trying to make the company a lot more understandable. But it's a complicated world we live in.
Ben Nolan : Yes for sure. And I do applaud the efforts because I think you are right, I think that would certainly make it easier for people to invest. But my next and I guess last question relates back to something that's come up in last few quarters and obviously in the first quarter you laid out or I guess it was of the end of last year you laid out your aspirations for cost cutting initially I think was $20 million and then I believe last quarter you said you feel like you could add another $15 million to that. Any update on where we are in that process, how much has been done and how much is left you?
Ira M. Birns: I think just really it's an update or actually very similar statement in the last quarter we’re still on track to achieve the previously announced $15 million to $20 million by the end of this year, which is I think the same thing I said last quarter so that hasn't changed. And of course we're going to get some of the annualized benefit of some of the savings that we implemented this year so we'll get some incremental benefit in 2018. I think as we're little of our planning process, we're still very focused in identifying additional efficiencies and when we get to the mid-February call the year-end or fourth quarter call we're hopefully -- we should clearly be in a position to give you some more clarity on incremental opportunities beyond what we've already announced. But we are not done, that's for sure but it would be premature to give you a number beyond what we've already shared at this point.
Ben Nolan : Okay, that's helpful. Thanks Ira, thanks, Mike.
Michael J. Kasbar: Thanks.
Operator: Mr. Kasbar there are no further questions at this time. I will now turn the call back to you for closing remarks.
Michael J. Kasbar: Okay. Well first I wanted to thank my colleagues around the world from the thousand truck drivers we have to our Board. We have a great organization, market conditions are challenging but we truly have a burning desire to succeed. And I want to thank our customers and suppliers and of course our investors we appreciate your support. So, thank you and look forward to talking to you next quarter.
Operator: Ladies and gentlemen that does conclude the conference for today. We thank you for your participation and ask that you please disconnect your line.